Operator: Ladies and gentlemen, welcome to Avery Dennison's Earnings Conference Call for the Third Quarter Ended on 09/27/2025. During the presentation, all participants will be in a listen-only mode. Afterward, we will conduct a Q&A session. If you have joined via Zoom, please use the raise hand function. As a reminder, this webcast is being recorded and will be available for replay on the Avery Dennison Investor Relations website. I'd now like to turn the call over to William Gilchrist, Avery Dennison's Vice President of Investor Relations. Please go ahead, sir.
William Gilchrist: Thank you, Karina, and welcome to Avery Dennison's Third Quarter 2025 Earnings Conference Call. Please note that throughout today's discussion, we will be making references to non-GAAP financial measures. The non-GAAP measures that we use are defined, qualified, and reconciled from GAAP on schedules A-4 to A-8 of the financial statements accompanying today's earnings release. We remind you that we will make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the Safe Harbor statement included in today's earnings release. On the call today are Dion Stander, President and Chief Executive, and Greg Lovins, Senior Vice President and Chief Financial Officer. I'll now turn the call over to Dion.
Dion Stander: Thanks, Gilly, and hello, everyone. Delivered a solid third quarter with earnings up 2% year over year and above the midpoint of expectations while continuing to execute in a dynamic environment. This outcome underscores the strength and durability of our franchise, demonstrating our ability to activate multiple levers in our portfolio to deliver across a range of macro scenarios. As expected, our business continues to be impacted by ongoing trade policy changes. Encouragingly, we fully mitigated direct cost increases through strategic sourcing adjustments and select pricing surcharges. Moreover, while base apparel volumes were still in the third quarter, we did see improvement sequentially relative to the organic growth headwind in the second quarter. In Materials Group, operational excellence was key to margin expansion during the quarter. A sustained focus on productivity and benefits from modest volume mix growth drove margins up 50 basis points year over year. Modest revenue declines in high-value categories were primarily driven by low single-digit declines in graphics and performance tapes, which faced headwinds from isolated customer and distributor inventory management adjustments. This is partially mitigated by continued strong growth in specialty durable labels and adhesives. We expect the inventory adjustments impacts to be short-lived and to see high-value categories return to growth in the fourth quarter. Overall, Materials Group and base label materials volumes were up slightly compared to the prior year. Importantly, we continue to see growth in our differentiated films volumes, which is a positive mix driver for the business. Solutions Group delivered organic sales growth of 4% driven by high single-digit growth in high-value categories. VESCOM continued its momentum, growing over 10%, and Embellix delivered more than 10% growth as well. Overall, apparel sales exceeded expectations, rising low single digits in the quarter. As you can see on Slide seven, our apparel business is seeing divergent trends. High-value category apparel sales grew high single digits, benefiting from strength in Embellix with strong growth related to next year's World Cup and mid-single-digit apparel IL growth. While base apparel sequentially improved as expected, it remains down low single digits, reflecting soft retail retailer and brand demand as they continue to navigate the impacts of tariff policies. Solutions margins performed better than typically sequential declines, were down 90 basis points compared to the prior year. Profitability was impacted by higher employee costs, continued growth investments, and network inefficiencies stemming from tariff policy changes. Turning to enterprise-wide Intelligent Labels, sales grew approximately 3% compared to the prior year, in line with our expectations. We are encouraged by the sequential improvement in the business, which was driven by key growth market segments. Specifically, apparel and food, logistics, and industrial grew at mid-single digits rate. In apparel and general retail, both market segments are still being impacted by tariff policy changes. However, apparel partially recovered in the quarter while general retail remained soft. Strong growth continued in food as our strategic collaboration with Kroger ramps up as expected. Longer term, our conviction in this large addressable market continues to grow. This morning, we jointly announced a major partnership with Walmart to leverage Avery Dennison's RFID innovation and solutions in their fresh grocery categories of bakery, meat, and deli. This adoption of IL in fresh food in the second large grocer is a key industry milestone and reinforces our conviction in the growth potential of this large addressable market. In logistics, the business expanded sequentially but was down slightly compared to the prior year. Our share in this market segment remained strong, and we have a robust pipeline of opportunities. As we highlighted in the second quarter call, executing initiatives to reduce identified network inefficiencies and associated costs created by the tariff policy changes. These improvements will help drive profitable growth while maintaining high quality and reliability for our customers. Looking forward, we anticipate the fourth quarter will deliver an improved rate of year-over-year growth versus what we saw in the third quarter. While growth will likely continue to remain constrained by trade policy uncertainty, particularly in apparel and general retail market segments, we view this as a temporary headwind. Our conviction in the long-term growth of this high-value category platform remains strong given the value we are creating for our customers and the adoption we see across new segments. Turning back to the total company. Taking into account the continued dynamic environment, we are anticipating both overall sales and earnings per share growth in the fourth quarter. We remain prepared for a range of scenarios, leveraging our proven playbook to safeguard earnings in the near term while accelerating initiatives to drive differentiation and growth over the cycle. Shifting to our core strategies. I am confident that we have the initiatives, innovation, capital allocation framework, and team in place to consistently deliver strong profitable growth and top quartile returns across the cycle. Progress in each of these strategies was evident in the fourth quarter, further cementing our conviction. Our business is positioned for success with secular growth tailwinds that fundamentally outweigh cyclical events over the cycle. Key trends including item-level digitization, enhanced consumer engagement, product customization, and business productivity needs are aligned with a growing portion of our business. The drivers in our high-value categories are clear, and our exposure to them continues to expand. These categories now represent 45% of our total business year to date. An increase compared to the prior year, underscoring our strategic shift towards higher growth and higher margin opportunities. Intelligent Labels adoption is accelerating, with our largest addressable market segment in food now gaining significant traction. Our focus on innovation outcomes and commercial excellence is creating differentiation across our businesses. Examples include introducing new RFI innovation in food, our stalling software in VESCOM, and expanding our Clean Flake adhesive adoption in filmic labels for recycling purposes. Finally, we continue to harness the power of our disciplined capital allocation approach and balance sheet strength to return capital to shareholders and strategically expand our presence in high-value categories where we hold competitive advantages. Year to date, repurchased approximately $454 million in stock and have grown our dividend by 7%. Concurrently, we closed the $390 million Taylor adhesive bolt-on, immediately strengthening our materials group high-value category adhesives franchise with clear cost synergies and strong growth potential. In summary, while the current backdrop has muted our overall growth in 2025, we have further strengthened the resilience of our franchise, deployed capital into attractive opportunities, and advanced our strategic priorities. This underpins our confidence in returning to strong growth and maintaining top quartile returns for our business and shareholders. I want to extend my gratitude to our entire team for their unwavering focus on excellence, dedication to overcoming the challenges at hand, and relentlessly focusing on executing our strategic priorities. Over to you, Greg.
Gregory Lovins: Thanks, Dion, and hello, everybody. We delivered adjusted earnings per share of $2.37, up 2% compared to the prior year and above the midpoint of our expectations. Results were driven by productivity and higher volume mix, partially offset by higher employee-related costs investments. While trade policy uncertainty continued to present a headwind to our results, the impact improved sequentially. Compared to the prior year, reported sales were up 1.5%, and sales were comparable to the prior year on an organic basis. As positive volume mix was offset by deflation-related price reductions. Adjusted EBITDA margin was strong at 16.5% in the quarter, up 10 basis points compared to the prior year. And we again generated strong adjusted free cash flow of nearly $270 million in the quarter. Our balance sheet remains strong with a quarter-end net debt to adjusted EBITDA ratio of 2.2. And during the quarter, we issued a €500 million note to pay down some commercial paper and to fund the Taylor Adhesives acquisition closed earlier this week. We continue to effectively execute our disciplined capital allocation strategy, successfully balancing significant cash return to shareholders with strategic M&A. In the first nine months of the year, we returned roughly $670 million to shareholders through the combination of share repurchases and dividends, and we allocated $390 million to the Taylor Adhesives acquisition. Turning to segment results for the quarter. Materials group sales were down 2% on an organic basis. As modest volume mix growth was more than offset by low single-digit deflation-related price reductions. Organically, both high-value categories and the base businesses were down low single digits. Turning now to regional label materials organic volume mix trends versus the prior year in the quarter, continued soft consumer product demand led to roughly comparable volume in both North America and Europe. Offset by continued growth in emerging markets. With Asia Pacific up low single digits and Latin America up mid-single digits. High-value categories declined at low single digits compared to the prior year. Graphics and Performance tapes declined low single digits were impacted by customer inventory adjustments, which we expect to normalize in Q4. The Materials Group once again delivered strong margins with an adjusted EBITDA margin of 17.5% in the quarter, up 50 basis points compared to the prior year. Regarding raw material costs, including the cost of tariffs, we experienced modest sequential global raw material cost deflation in the third quarter. Mitigated tariff cost through strategic sourcing adjustments and the implementation of select pricing surcharges. Overall, including tariffs, our outlook is for relatively stable sequential material cost in Q4. Shifting to Solutions Group. Sales were up 4% organically, and high-value categories were up high single digits. And base solutions were down low single digits. Improving sequentially from down mid-single digits in the second quarter but still impacted by tariff-related uncertainties. Within High-Value Categories, VESCOM was up more than 10% driven by the continued benefit from new program rollouts. Embellix was also up more than 10% as we saw a ramp ahead of the World Cup next year and apparel intelligent label sales recovered to mid-single digit growth. Enterprise-wide, intelligent label sales expanded approximately 3% compared to the prior year. In addition to apparel improving to mid-single digit growth, food, logistics, and industrial categories combined were also up mid-single digits. General retail categories continued to experience tariff-related softness. With sales down mid-teens which impacted both Solutions Group and Materials Group Intelligent Label sales. Solutions Group adjusted EBITDA margin was 17%, relatively flat sequentially but down 90 basis points compared to the prior year. As benefits from productivity and volume were more than offset by higher employee-related costs such as wage inflation, and growth investments. Shifting to our outlook. For the fourth quarter, we expect reported sales growth of 5% to 7% with the following contributing factors: sales growth excluding currency of 1% to 3% with organic growth of 0% to 2%. With approximately 2% from currency translation, approximately 2% from extra days in the quarter due to the shift to the Gregorian calendar next year, approximately 1% from the Taylor Adhesives acquisition. We expect adjusted earnings per share to be in the range of $2.35 to $2.45 above the prior year at the midpoint as benefits from organic growth, productivity, and share count are partially offset by wage inflation, investments, and higher interest expense. Our Q4 guidance incorporates seasonality and incremental productivity, which is partially offset by higher interest expense and less favorable currency. We've outlined some contributing factors to our full-year results on Slide 14 of our supplemental presentation materials. To highlight a few of the key drivers, we now anticipate a $5 million currency translation benefit operating income slightly below our previous projection of a $7 million tailwind. We now expect restructuring savings net of transition costs of approximately $60 million, up $10 million from our previous expectation as we continue to ramp our productivity efforts. And we continue to expect strong free cash flow targeting roughly 100% conversion for the year. We now expect interest expense to be $135 million, an increase from our prior outlook largely driven by interest expense from the €500 million notes we issued in September. And finally, expect tailored adhesives will have an immaterial impact on Q4 earnings per share due to the timing of the close in the quarter and expected intangible amortization expense. In summary, we delivered a solid third quarter achieving EPS above the midpoint of our expectations through a continuing dynamic environment. Expect slight improvements in organic sales growth and continued year-over-year EPS growth in the fourth quarter. And we remain well prepared for a variety of macro scenarios. We're strongly positioned to execute our profitable growth in disciplined capital allocation strategies, which we expect to deliver exceptional long-term value to all of our stakeholders. And now we'll open up the call for your questions.
Operator: Thank you. Ladies and gentlemen, if you've joined via telephone, and would like to register a question, you will hear a confirmation of your request. Please press star followed by the number 6 to unmute your line. If you have joined via Zoom, please raise your hand using the raise hand function. If your question has already been answered, and you would like to withdraw your registration, please press star followed by the number 9 again, use the raised hand function. To accommodate all participants, we ask that you please limit yourself to one question and then return to the queue if you have additional questions. One moment for the first question. Your first question comes from the line of Ghansham Panjabi from R. W. Baird. Your line is open. Please go ahead.
Ghansham Panjabi: Hey, guys. Good morning. Can you hear me okay?
Gregory Lovins: Yeah. We can, Ghansham. Good morning.
Ghansham Panjabi: Okay. Good morning. Sorry. Just getting used to the new system. First off, as it relates to the materials segment, is it your sense that volumes are starting to how are how are volumes progressing on a sequential basis just given the macro uncertainty in and so on and so forth? I know you called out the impact on apparel as you have over the last couple of quarters, but is it your sense that materials are starting to sequentially weaken as well?
Dion Stander: No. Ghansham, I'd say in the third quarter, volumes, while positive overall, were less than our expectation and pretty much across all regions. And I think there's a couple of factors playing into that. One of which is certainly, we see we continue to see lower retail volumes overall, particularly in North America and Europe, and our scanner data also suggests that there's lower muted demand coming from CPGs overall and when they think about volume. The second thing is, in our high-value categories, we also had a couple of episodic events that happened really around our graphics and reflective business, which we know will remediate as we get into the fourth quarter. Our outlook for the fourth quarter is actually to see kind of similar growth as we move forward. I think the final thing I'll say is it's certainly clear in certain pockets that we're emerging markets have had exposure to tariffs those economies and the consumers in those economies are more cautious as they look into the impact of what those tariffs mean for those countries. And so we're seeing slightly lower volume in those areas as well. I think fundamentally for us as we look forward, I'll just remind everybody, our materials business is really anchored in consumer staples. And so over time, it's been a GDP plus business. And I anticipate that changing once the trade environment, the trade policy normalizes.
Operator: Your next question comes from the line of George Staphos from Bank of America. Your line is open. Please go ahead.
George Staphos: Hi, everybody. Getting used to the new technology here. For the time, the details. I guess with one question at a time, I'll go with the Walmart news today. If you can talk a little bit about that. And what it might mean for you over the next couple, three years. We're doing some quick searching over the last hour or two it be fair to say that the the opportunity here, recognize you're not going to get that next quarter or the following, would be roughly maybe a million and a half packages when you think about, you know, the Walmart protein cabinet and other related end markets, how would you have us size that? Thank you.
Dion Stander: Yes. Thanks, George. I think it's for us, we see this as twofold. First of all, I think it's a critical validation of the effectiveness of our technology and solutions to solve challenges that all grocers really have, which is around freshness of perishable products, labor effectiveness, gross margin expansion, and Net Promoter Score increases because consumers are getting the products that they want, which is the freshest they need. And we saw that start in Kroger, and now I've been manifest in Walmart and our partnership announcement this morning. So we see it both strategically important because we believe it will further catalyze the largest growth segment there is which is in food, which we estimate to be about net order of 200 billion units. And the second large growth are going really sends a signal that the technology has application, the returns are there and the rollout now will commence. In terms of Walmart specifically, while we don't necessarily always comment on exact details of partnership, perhaps I can just frame the scale of what we think it could be. Our estimates are and this will be subject to typical rollout timing, what will happen intra quarter, the number of stores that goes, the individual pieces of those departments of bakery, deli and protein and sorry, meat and when they go. We would typically see this across a two-year period being in the order of sort of high single digit to low double digits growth on our total 25 enterprise IL revenue. And we typically would see that ramping as we go through the couple of years. One other point I'd make on this is we are driving this partnership because we to provide differentiation in the market. A lot of our differentiation over here is anchored in what we've been able to do from an innovation perspective as it relates to activating proteins and meats, particularly for intelligent labels, something that had been very challenging in the past that we've been able to solve for. And so we look forward to seeing the results of that partnership and the results of our effort we've been leaning forward for very long in the market to make sure that we continue to drive activation.
Operator: Your next question comes from the line of John McNulty BMO Capital Markets. Please go ahead.
John McNulty: Yeah. Good morning, Thanks for taking my question. Can you speak to what you're seeing in the IL pipeline right now? Obviously, there's been a lot of chaos around tariffs and delays in certain programs and yet it seems like there may be some acceleration. So other areas as people try to get better understanding of supply chains, etcetera. So I guess, can you speak to that? And also, just given the size and scale of the Walmart program that's being added in, do you have to start thinking about putting new capital to work around intelligent label capacity, etcetera? I know you put some in a while ago. I guess, where do we stand on that need now?
Dion Stander: Thanks, John. So in terms of pipeline, we continue to see our pipeline grow actually both by number of opportunities and by dollar value across all of the key segments. I'm just once again reinforcing that when the benefits are obvious, and they're implementable, then we tend to see good traction because it fundamentally solves challenge of our supply chain visibility, inventory accuracy. And then when you're into the store, specifically labor productivity, fresh produce, waste reduction, and employee and associate experience is much better as well. So from a pipeline perspective, we continue to see good progress overall. In terms of Walmart size and scale, yes, it's a substantial add to the adoption now within the overall food and more broadly the IL market. I'll remind you that in terms of capital allocation, we typically, from a roofline perspective, have added capacity from an infrastructure perspective, typically three to five years out. Hence why we added our Queretaro facility in Mexico to we started that two years ago. When it comes to individual assets for production, we tend to be investing twelve months to eighteen months ahead of the curve. So in the initial phase of this, I don't anticipate us needing additional capacity. As we get through to the end of the second year, we'll revisit that and adjust accordingly. For us, that's much more of a modular approach. These are assets where we've significantly improved our capital reduced our capital intensity billion units produced over the last five years. And so I'm looking forward to that continuing to take advantage of the scale manufacturing that we have in this regard.
Operator: Your next question comes from the line of Jeff Zekauskas JPMorgan. Your line is open. Please go ahead.
Jeff Zekauskas: Hey, Jeff. Can you hear us? Thanks.
Gregory Lovins: I can. Thank you very much. In the in the press release that that came out over the Walmart announcement, there was, a phrase about joint sensor technology. Is there something about technology that you're using with Walmart that's really unique to your relationship with them Or maybe another way of saying this is is is what you're doing with them something that would constrain you in being able to use the same technology with other customers?
Dion Stander: No. Jeff, what we've done with Walmart is we've really focused on the three areas that in much of our pilots and trials up until this point. And those are around bakery which is very similar to what we do with some other customers as well. Protein specifically is where we've had to lean into our innovation capability, both on our material science side think about adhesive technology required in cold environments, and then environments that ultimately will be defrosted and even microwaved at that stage. So from material science, have put a lot more effort into solving some of those problems. And then more specifically from what we call the RF side things, radio frequency side of things is how do we make sure that our uniquely designed antennas are capable of being able to sense within very, very densely packed items that are very high dielectrics meet has those properties. And so how do you make sure that you're able to read everything even within a freezer container or a fridge container as well? And those are presented significant challenges in the past. So our ability to generate innovation in this area I think, is going to help us unlock not just the Walmart partnership, but also more broadly across the market as we look forward as well, Jeff.
Operator: Your next question comes from the line of Matt Roberts Raymond James. Your line is open. Please go ahead.
Matthew Roberts: Morning, Matt.
Operator: Mister Roberts, you'll need to unmute yourself.
Matthew Roberts: Can you hear me now?
Dion Stander: Yes, Matt. Thank you.
Matthew Roberts: Okay. Good morning, everybody. Sorry about that. I may, in regard to intelligent labels, so understand you're probably not going give the 2026 guide here and understanding visibility is limited. 2025 certainly had its unique headwinds from tariffs but we're starting to see some momentum that you referenced for Walmart and others. So maybe more broadly in Intelligent Labels, how much of the initial five points that you expected in 2025 from new programs have shifted into 2026? How many incremental points could you get from new program rollouts other than Walmart that you just gave? And given weak comps in apparel and general and some of the headwinds you've seen there, do you believe 2026 could support at or above the long-term growth rate? Or if you only want to give one quarter ahead, any color on 4Q could be helpful as well. You for taking the question.
Dion Stander: Yes, Matt. Specifically, we talked to remember those are incrementally about those five basis points that will come through through. Program rollouts. Largely, those actual rollouts are on track through this year. And they came really in a couple of buckets. One bucket was in apparel themselves, some new rollouts new technology deployments, The second bucket was really in some of our food rollouts, which we've talked about. The third bucket was also in some of the additional general merchandise rollouts that were happening as part of the compliance programs with some of our customers. Across all three of those, if you exclude the impact of tariffs, we're actually roughly on track. Now in apparel, we haven't seen any rollout delay, but what we've seen is some of the volume being a little bit more muted than we would expected given, as I'm sure, you recognize the tariff implications. It's a little early for us to look out currently to 2026 as well. And I said in the context, I think the environment remains highly uncertain. Just call everybody's attention to fact that the tariff policy changes have only impacted India more recently by up to 50%. And as all you know, we're on the road currently with China being currently 100% again. And so I think that uncertainty certainly limits our near-term visibility. What I am confident in is our continued ability to drive not only innovation that secures our differentiation, but drive adoption, particularly with things like Walmart, that will certainly help deliver growth as we go through next year. We'll characterize and wrap that all together when we get to the January outlook as well, Matt, for you. The other thing I would just add to what Dion's earlier comments in his prepared remarks, Matt, is that we talked about Q4 expecting our growth rate in IL to be better than what we grew in Q3 versus prior year.
Operator: Your next question comes from the line of Anthony Pettinari, Citigroup. Your line is open. Please go ahead.
Anthony Pettinari: Good morning, Good morning, Anthony. Hey, just another question on the Walmart partnership. You know, during the quarter, they they had a a press release talking about deploying IoT technologies with Williotte and and know, Avery has a strategic partnership with Willyot. And I'm I'm just from a big picture perspective, can you talk about how RFID and maybe other IoT technologies, you know, coexist in an environment like Walmart Are are you kind of agnostic to what wins in the market? Or how do they interact with each other? How should know, investors think about those two sets of technologies?
Dion Stander: Yes, Anthony, I think I've always said from the start, we fundamentally believe that UHF RFID is the most ubiquitous best placed sensing technology for item level identification visibility through supply chain and in a store environment. But we've also said that there are other sensing technologies particularly when it relates to ambient issues, things you want to monitor temperature pressure and so forth, that will also have a specific use case. Now Williard is a strong partner of ours. We have strengthened our strategic partnership. We're going to be supporting them in their rollout that they have fact, we're gonna be managing part of the rollout for them with Walmart as well overall. And that is really orientated around palette and case level. So at a high level, think about UHF RFID being applied at an item level, most likely set broader sensing devices like WILIA technology we provided at the palette and case level. And we're involved in both of those areas I think they present a suite of solutions that in the long term are going continue to drive to what I think will be the end outcome, which is digital identities, on all physical objects. In time.
Operator: Your next question comes from the line of Mike Roxlin Truist Securities. Your line is open. Please go ahead.
Michael Roxland: Hi, can everybody hear me?
Dion Stander: Hey, Mike. Thanks, Mike. Thanks. Yes. Thank you, guys. And getting used to the new congrats on all the progress and the new Walmart deployment.
Michael Roxland: Thank you. Just one question for me in terms of logistics. Obviously, was a little bit weaker in this quarter. As you mentioned. Any potential for new deployments in the near term? Any comments you may have on potential like share gains? Obviously, there was some share loss last year. Any insights as to whether maybe you're going to regain some share from that business? Anything you can help around logistics and what's happening with deployments and potential share gains on the horizon? Thank you.
Dion Stander: Yes. Sure, Mike. We continue to do really solid work in our partnership with UPS. And that fact that partnership continues to grow. My sense is through the end of this year, we'll actually expand our share with UPS. It's a good performance by both our team, both on service quality, delivery and some new innovation we've even brought to UPS as well in terms of how they can drive higher speed application to their packages relative using our technology as well. If I think more broadly about the logistics environment, I think we've been very clear. We didn't anticipate another rollout during 2025. And we're going to be assessing what the likelihood of that will be during 2026. We'll give more color on that as we get to the January. But I'd say overall, we continue to make really good progress with a number of the key logistics providers. Our pilots and trials have expanded with almost all of them And we spent a lot of time engaging around all the various use that could come out of not just managing last mile fulfillment accuracy, but also how do you originate parcels that go back to source at shipper, what role can we play in that. So as always, I'm encouraged by what I see when I look across the business and our relationship we have with all the large logistics providers. And for me, it's just going to be a case of when we're able to get them to adopt at scale. We'll be able to give a broader update, I think, by the time we get to January, Mike.
Operator: Your next question comes from the line of Josh Spector from UBS. Your line is open. Please go ahead.
Joshua Spector: Hey, good morning guys. Can you hear me?
Dion Stander: Yeah, we are.
Joshua Spector: Okay, great. So I wanted to ask kind of a technical one around the quarter and the guide here. Is I think from a sales perspective, you're guiding sales up about $100 million maybe a bit more sequentially But from an EPS perspective, you're close to flat I think historically there's some accretion of margins in fourth quarter So I know with the M and A piece of it that maybe creates a bit of noise as Meridian layers in. But are there other factors that we need to consider, like some lagged price downs or Some other costs that maybe mute the accretion q on q?
Gregory Lovins: Yes. Thanks, Josh. So when we look at sequentially, there's a number of puts and takes, of course. Seasonality, as you mentioned, is historically, has been a little bit positive. I would say this quarter, we're probably expecting a little less than typical. Since we saw apparel have a bit of a catch up in Q3. From the tariff impacts that we had in the second quarter. We'll still have some positive logistics volume improvement sequentially into Q4 materials is usually a little bit of a headwind Q3 to Q4 given the holiday period. On the biggest parts. Of that business in North America and Europe. So sequentially, expect seasonality to be relatively flat this year, I think. When we looked in, have some slight positives from share buyback that we've been doing across the year. And continuing to do as we enter the fourth quarter here. We've got some slight favorability from restructuring. I talked about ramping that up we're moving through the back half. And then we've got a little bit of a slight headwind quarter over quarter I think Dion talked about our network inefficiencies we've had related to some of the tariff moves and our sourcing moves or our production moves accordingly with that. We've got a little bit higher inventories in the system over the last few quarters. And as we're bringing that down, we'll have a little bit of an inventory absorption impact on the P and L in the fourth quarter. Sequentially. Otherwise, price deflation, somewhat immaterial sequential impact those are kind of the big puts and takes when we look Q3 to Q4.
Operator: Your next question comes from the line of John Dunnigan from Jefferies. Mr. Dunnigan, please press 6 unmute your line.
John Dunnigan: Hey, guys. Thank you very much for all the details. I just wanted to ask a quick one on the Walmart collaboration, and then have one other here. So the the collaboration, when when will that start flowing through? Is that more of a 2026 event? And then it just looking at Embellis, I mean, the inflection in volumes was pretty impressive, not to something that we were necessarily expecting. I get that it's related to the World Cup, but is that that kind of trend kind of high single digit, low double digit expected going into 4Q twenty twenty six. Kind of what your expectations are for that business would be helpful?
Dion Stander: Thanks. Sure, John. Yes, on the Walmart collaboration, we've been piloting a trial, as I'm sure you sense for a while now. And the full the rollout will start sequentially at very small amount in the fourth quarter really, and then we'll go from there as we go through 2026 and 2027. The current plan. Again, that may be subject to change into quarter shift depending on what stores rollout at what pace and which departments go in which sequence in order. In terms of AmbelliX, yes, I've been very pleased with our AmbelliX performance in the third quarter. Largely, on the performance that we have as related to the World Cup. So we do a lot of preparation for the key World Cup teams and the brands that support them. In advance. And that typically happens a little bit in the second quarter, the majority in the third quarter and a small amount happen in the fourth quarter. What we would call happening at source. The garments are produced at source. They're decorated at source. And then as we get into next year, when the actual World Cup happens, there will be a smaller opportunity for us to do what we call on in stadium venue customization, the names and numbers that you can do when you go there. We haven't necessarily given a perspective on how that decides that, but an opportunity certainly for us as we get into next year. Aside from that, on our base Imbellx business, we continue to see improvement is largely anchored in our Performance Brands as they start to ramp up as well. And then separately, in our Embellis business, we continue to make progress in what we call our in venue and consumer customization applications. I'll give you an example of that. We recently launched a NFC connected device in a garment for a Turkish football club We've done the same thing again for the San Francisco 49ers. And this really helps clubs and fans engage more directly on a one to one basis. So leveraging our technology with some of our adhesive science and our Embellics business overall. And in the long term, we continue to see this as a kind of mid- to high single digit growth segment for us as we move forward.
Operator: Your final question comes from a follow-up from Jeff Zekauskas from JPMorgan. Your line is open. Please go ahead.
Jeff Zekauskas: Great. Thanks for taking my call. Another question about the Walmart arrangement. Different RFID tags have different prices. In that, you know, apparel tags, you know, tend to be priced higher than logistics tags. Where do tags on Meet fall? Are they in the middle or higher? Or lower? And then for Greg, what calendar are you switching over to for next year?
Dion Stander: Jeff, so let me address the warm up one and Greg can take on the calendar question. Yes, I mean, typically across our estate, we have I'd characterize our products as kind of good, better, best. And ranging in differentiation from good all the way through to best. There's also unique circumstances, which certain products or certain inlays are put into more complex tags or format. So an inlay that goes on to, let's say, plain white label has less complexity and typically a lower price point than something that goes into a highly decorated graphic tag to make an apparel. So you can see a range of ASPs across them. As it relates to meat, given some of our proprietary innovation, would see these as typically products that are in the best range. And our AS there will probably be a little higher there's also mix in with the bakery products that we have and some of the deli products. And so overall, anticipate our ASPs across that program to really reflect our portfolio largely at an aggregate level and with profitability to be in a similar aggregate range we currently see across our IL portfolio as as well.
Gregory Lovins: Thanks, Ian. And Jeff, on your question on the calendar, we are moving from our historical fourfourfive calendar to a fiscal calendar that aligns with the actual calendar, the Gregorian calendar. So we're making that shift at the end of this year. So this year, we'll extend to the December 31. Then from now on, heading into 2026, we'll be following the Gregorian calendar. And if I go back to Josh's question a little bit earlier, that does add about two points of growth in our fourth quarter sequentially and versus prior year. By adding those extra days into the fourth quarter They're not really high quality days. We had four days to the calendar this year. That includes a Sunday and it includes New Year's Eve, so they're not really high quality days. But nonetheless, we'll get some incremental revenue from that Not a huge flow through because we'll have four or so days of fixed cost with less than that of actual revenue given the softness of those typical days. But that's the impact we're we're shifting to the Gregorian counter next year.
Operator: Your final question comes from the line of George Staphos from Bank of America. Your line is open. Please unmute.
George Staphos: Hi, Thanks for taking the follow on. A two part one. And again, thanks for all the details. First of all, can you talk a bit about where you're seeing deflation in materials such that prices are a touch lower And kind of where you sit right now, how would you gauge what is normal deflation versus price competition given the macro Related point, the last couple of quarters, again, third quarter was nice to see the improvement. But apparel's weakness in base was one of the reasons that IL is having some difficulty growing. This quarter, with apparel being up 3%, on IL, base is down Why is it why are we getting a positive disconnect this quarter that we were not getting in prior quarters with IEL relative to apparel. Thanks and good luck in the quarter.
Gregory Lovins: Thanks, George. I'll start with your deflation question. Overall, what we've been seeing and we've talked about from a year over year perspective, think the biggest drivers we've seen are in paper. Particularly in Europe and Asia. Where overall we've got low single digit deflation year over year in the third quarter Paper is a little bit more than that specific to a couple of regions. And we saw pulp kind of coming down through the quarter in those areas as well. We've got a little bit of year over year benefit on chemicals and films as well also primarily in Europe and Asia. And then in The U. S, we've got some tariff related inflation that we've put surcharges through as we talked about. We do have a little bit from a price perspective then We've got a little bit of low single digit impact on pricing as well. And net net, we've got a slight headwind between price inflation. And I think some of that is still over the cycle when we look over on multiyear horizon we had a lot of inflation a few years ago. It's been slightly deflationary for a couple of years now. And prices have come down to go with that. So that's something we expected as we've gone through the quarters this year. We'll probably have another quarter or so as that continues from a year over year perspective in Q4.
Dion Stander: And George, on your second question, even in the second quarter, our base apparel performance was lower than our apparel IL performance, both were down. And as you saw, our base apparel performance has improved, it's still low single digits, the base apparel piece. And our aisle performance is now sort of low single digits around 3%. The difference there really is in rollouts, not necessarily relative to the absolute volume of the base apparel. It's new rollout. For example, we extended our rollout with the Inditex Group, leveraging our new proprietary loss detection technology that they've introduced. And separately, we've also got continued rollout in new apparel customers, a couple of them small, one of them large, that have been rolled out through the third and then the fourth quarter increasingly as well.
Operator: Mr. Gilchrist, there are no further questions at this time. I will now turn the call back to you for any closing remarks.
William Gilchrist: Thank you, Karina. Just to recap, we delivered a solid third quarter in a dynamic environment. We are well prepared for a variety of macro scenarios. And well positioned to deliver superior value through the cycle. We want to thank you for joining today's call. This now concludes our call.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.